Operator: Ladies and gentlemen, hello and welcome to Valvoline's 2Q 2022 Earnings Conference Call and Webcast. My name is Maxine and I'll be coordinating the call today. [Operator Instructions] I will now hand over to your host, Sean Cornett from Investor Relations to begin. Sean, please go ahead when you're ready.
Sean Cornett: Thanks Maxine. Good morning and welcome to Valvoline's second quarter fiscal 2022 conference call and webcast. On May 9th at approximately 5:00 PM Eastern Time, Valvoline released results for the second quarter ended March 31, 2022. This presentation should be viewed in conjunction with that earnings release, a copy of which is available on our Investor Relations website at investors.valvoline.com. Please note that these results are preliminary until we file our Form 10-Q with the Securities and Exchange Commission. On this morning's call is Sam Mitchell, our CEO; and Mary Meixelsperger, our CFO. As shown on slide 2 any of our remarks today that are not statements of historical fact are forward-looking statements. These forward-looking statements are based on current assumptions as of the date of this presentation and are subject to certain risks and uncertainties that may cause actual results to differ materially from such statements. Valvoline assumes no obligation to update any forward-looking statements unless required by law. In this presentation and in our remarks, we will be discussing our results on an adjusted non-GAAP basis unless otherwise noted. Non-GAAP results are adjusted for key items, which are unusual, non-operational or restructuring in nature. We believe this approach enhances the understanding of our ongoing business. A reconciliation of our adjusted non-GAAP results to amounts reported under GAAP and a discussion of management's use of non-GAAP and key business measures is included in the presentation appendix. The information provided is used by our management and may not be comparable to similar measures used by other companies.  As we turn to slide 3, I'd like to turn the call over to Sam.
Sam Mitchell: Thanks Sean, and thank you everyone for joining us this morning. The strength of our top line results continued in Q2 highlighted by a 26% increase in sales. Both segments contributed to the strong performance with Retail Services sales growing 23% and Global Products sales up 29% as demand for our products and services remains robust. Global Products volume growth of 9% and Retail Services same-store sales growth of 13% led by an increase in transactions demonstrate that we continue to gain share. Profitability in the quarter was impacted by an inflationary environment that remained challenging with adjusted EBITDA increasing 1%. Our team is managing well through these supply chain and raw material cost challenges, positioning us for improved profit growth in the second half of the fiscal year. Let's turn to the next slide. Given our share gains and our pricing actions, we are raising our guidance for sales growth and we are reaffirming our guidance for adjusted EBITDA, reflecting confidence in our business plans, margin recovery and continued volume growth. Let's take a closer look at segment highlights starting with Retail Services on slide 6. The momentum in our Retail Services segment continues with Q2 sales increasing 23%. System-wide store sales increased 19%, driven by 13% same-store sales growth and a 7% increase in units. For the fiscal year, we expect system-wide store sales in excess of $2.2 billion. We added 113 stores to the network year-over-year. Our system-wide store growth is accelerating and we are raising our full year guidance for store additions to 140 to 160 new units, driven by outperformance in our franchisee store growth. Our partnership with our franchisees, remain strong, and we're encouraged by their continued investment and growth. Our confidence in ongoing share gains combined with the pricing actions that we executed in April, has led us to raise our same-store sales growth guidance to 12% to 14%. Let's review our transaction growth, across the system, on the next slide. Our transactions are increasing faster than the broader DO IT FOR ME, Oil Change market and growth continues to be broad-based. Our store level car counts, measured as oil changes per day are increasing across the system, in company and franchise stores, across performance levels and among mature and new stores. We are also seeing strength across geographies with all regions, delivering growth in transactions year-to-date. Our quick, easy, trusted experience continues to win new customers. Given the competitive advantages of our model, we are confident that our momentum in transaction growth will continue. Let's turn to the next slide. We've taken action to improve profitability in margins in retail services. We have increased pricing to address inflationary pressures from both rising labor rates and higher product-related costs. Based on April's performance, our new pricing is already benefiting Q3, and we are seeing continued transaction growth. Optimizing our staffing levels is important to drive continued share gains and further penetration of non-oil change services, especially as we move into the summer driving season. We pulled forward important labor investments, to retain and attract key talent. And we've reinvigorated our training and onboarding programs for the post-COVID environment. These actions in combination will improve average-ticket performance. While we focus on adding value for our customers, we anticipate our pricing power to enhance profitability in Q3 and Q4. Let's move to the next slide. Our confidence in our long-term margin outlook of 30% to 32% for Retail Services is based on the performance of our mature stores, which continue to drive strong margin leverage. Our mature stores have improved margins by nearly 300 basis points, since 2018. And we expect further expansion going forward, as we continue to grow share and average-ticket. As a reminder, our total segment margins include the dilutive effects from new stores as well as from price pass-through of product sales to our franchisees. In Q2, these effects combined were a nearly 300 basis point impact versus last year. Let's review Global Products on the next slide. Q2 demonstrated the ongoing top line strength in Global Products. Sales grew 29% year-over-year with all regions contributing to this impressive increase. Sales growth outpaced a strong volume increase of 9%, highlighting our continued success in passing-through cost increases with pricing. While pass-through is currently dilutive to our margin rates, adjusted EBITDA grew modestly in the quarter versus last year overcoming significantly higher raw material costs. Discretionary free cash flow generation remained steady and on track for roughly $200 million this fiscal year. Let's take a closer look at demand and cost recovery on the next slide. Demand signals for our products and solutions are robust, highlighting ongoing share gains across regions and channels. Performance in DIY, where we have increased our distribution remains impressive and the installer channel continues to recover from the impacts of COVID. International volume growth has been strong over the past few years, as we focus on building our channels and brand. The current supply chain environment has created both challenges and opportunities. We believe that we are outperforming competition in our ability to supply customers, which is contributing to our volume growth and share gains, as our team continues to do an outstanding job of keeping up with demand. The core differentiator for our business is our ability to deliver added value for our customers, while providing outstanding customer service. We believe this approach coupled with our ability to meet demand positions us well to continue to capture share and expand margins. As we anticipated, Q4 of last fiscal year and Q1 of this year were low points for unit margins. We saw a meaningful sequential impact in unit margins for Q2, as we continue to pass through raw material cost increases from 2021, while cost inflation has continued this year we remain confident in our ability to recover cost, as we have in previous inflationary periods. With that, I'll hand things to Mary to discuss our financial results in more detail.
Mary Meixelsperger: Thanks Sam. Our Q2 results are summarized on Slide 13. We continue to see strong top line growth across both segments. Overall sales growth of 26% in the quarter was driven by 16 points of pricing and nearly 10 points from favorable volume and mix. Growth from acquisitions was largely offset by unfavorable year-over-year foreign exchange impacts. Flow-through to profitability of significant volume mix benefits as well as pricing was largely offset by higher raw material and labor costs leading to a modest increase in adjusted EBITDA. Let's take a closer look at segment results on the next slide. Strong transaction growth in Retail Services and volume growth in Global Products are indicators of continued share gains and robust demand in both segments. Our two-year stack of system-wide same-store sales remained above 30% in Q2, and we expect this pace to continue in the second half of the fiscal year. 250 basis points of the year-over-year decline in margin rates in retail services was due to the dilutive effect of pass-through pricing of higher raw material costs, with the remainder primarily driven by product and labor-related costs. We have executed incremental pricing actions that are anticipated to improve margins beginning in Q3. Sales growth in global products continued to run well ahead of strong volume increases, highlighting our ability to pass-through inflationary costs with pricing. Our unit margins increased noticeably in Q2 versus Q1 and we expect to pass-through recent raw material cost increases efficiently driving unit margins back toward their pre-pandemic average. Let's review our updated guidance on the next slide. We are raising our top line guidance metrics reflecting the benefits of share gains and pricing power in both segments. We now expect low 20% growth in total sales. System-wide same-store sales are anticipated to grow in the low teens range, while we are raising our expectations for unit growth to 140 to 160 additions. We continue to expect overall adjusted EBITDA between $675 million to $700 million, representing high single-digit year-over-year growth and adjusted EPS, of $2.07 to $2.20. Excluding, the impact of separation-related expenses, we anticipate strong free cash flow generation of $260 million to $280 million. Now as we turn to Slide 16, I'll turn things back over to Sam to wrap up. Sam? 
Sam Mitchell: Thanks, Mary. Despite significant inflationary and supply chain-related headwinds our two businesses are performing well. We are addressing near term margin pressure, from cost increases with pricing actions. Most importantly, demand for our preventive maintenance products and services continues to be very strong. We have confidence in our strategy, pricing power and operational execution to drive margin normalization and ongoing profit growth. While we don't have any significant news to share today, we are making good progress on our separation process and we'll be announcing details at the appropriate time. Now I'll turn the call back to Sean, to open the line for Q&A. 
Sean Cornett: Thanks, Sam. Before we open the Q&A, just like to remind everyone to limit your questions to one and few follow-ups, so that we can get to everyone. And with that Maxine, please open the line. 
Operator: Thank you [Operator Instructions] Our first question comes from Simeon Gutman from Morgan Stanley. Your line is now open. Please go ahead. 
Michael Kessler: Hi, guys. This is Michael Kessler, on for Simeon. Thanks for taking the questions. First, I wanted to start with Retail Services. That raised same-store sales guidance implies a little more of an acceleration on the multiyear stacks. I assume most if not all of that is due to the price -- I guess, is that the case the 2% to 3% you cited in the presentation? Is that kind of roughly how we should be thinking about, how much price is being taken? And then, as you think about how you are now priced, I guess, versus the competition versus peers, is this kind of marking-to-market? What are you seeing as far as responses from others? And would you kind of consider these investments you're making to be, I guess also marking-to-market jumping ahead catching up? I guess kind of where we are in the state of play, with these adjustments both on cost and pricing? 
Sam Mitchell: Okay. Yes, first Michael, regarding the transaction growth and the guidance, the transaction growth has continued to be quite strong. So we saw that in Q1 and again in Q2. And so that is one of the drivers behind our guidance, for the full fiscal year because we're just continuing to see that broad-based strength that we pointed out in the presentation. Pricing certainly, is going to have an impact on the back half of the year, so we will see a nice benefit in ticket performance in the back half of the year. So the combination of the continued growth in transactions, somewhat above expectations and then the increased pricing is going to put us in that 12% to 14% range for the full fiscal year. That does imply, that the growth that we saw in the first half will be lower, in the second half because of the nature of the comps, as we move past like the COVID-19 comparisons. With regard, to price increase, we have a very disciplined process for how we take pricing and it involves measuring, price increases and potential impacts on our volume and transaction performance. But as costs have moved up pretty significantly both on the product side and on the labor side, these price increases are very important for us to take as we've made these adjustments. And as I noted earlier, that we took these in April. We have also noted that our competitors have taken similar price increases. So when you take a look at pricing across the do-it-for-me market prices to consumers are up across the board.
Mary Meixelsperger: And then Michael I would just add, if you look at the acceleration of the two-year stack that you asked about, for Q3, you almost have to look at a three-year stack because it was in Q3 of our fiscal 2020 that we had a negative 8% comp that was in the depths of the lockdown from COVID when the COVID first started. So yes, there is some acceleration in the two-year stack but that's primarily because the prior year was comping up against that really deep COVID impact from the earlier period. So I would say the first half two-year stack in the mid-30s that we're expecting to see a little bit stronger than that in the back half, primarily driven by the price changes. 
Michael Kessler: Got it. Okay. That's all super helpful. Maybe just one follow-up shifting to Global Products. I don't know if you can maybe dissect a little bit where the volume growth is coming from. I guess where the most growth is coming from whether it's – we're seeing acceleration on the core North America side, I mean the old core North America disclosure versus international. And then you mentioned the recovery on the installer side still trailing a little bit the DIY international. Are we still in that recovery process? Does it feel like that segment is recovered and this is – we're kind of rebase standing where we are just I guess the progress of that recovery relative to the other segments?
Sam Mitchell: Yes. First, where we're seeing the growth the good news is that it is across regions. And yet North America is particularly strong this fiscal year and so that's contributing to the outperformance. We've seen some real strength in the DIY business, where we've picked that distribution in our product line, at key retailers, also expanding into new channels. And so that has been a nice driver this year. On the installer DIFM side of the business, we're also seeing good volume. And I'd say that's more the recovery picture. If you recall, the DIY business remained strong through the COVID impacts whereas the installer business took pretty significant volume hit. And so we're now seeing some pretty good recovery I would say close to what I'd consider more normalized levels. So we're feeling really good about just the core strength of the North American business. And then on the international side we're seeing growth in excess of 6% in total, excluding we also have included in our total sales to China joint venture. But when we exclude that so we look at apples-to-apples just strength of the international business, we're seeing good growth across regions. The China business certainly is feeling the effects of the COVID lockdown right now. So we're seeing some softness there in the current performance. And so that is a bit of a risk in the back half of the year, but not a significant impact to profitability. And -- but we look at strength in Latin America and parts of Europe and Asia Pacific, it's really encouraging to see the momentum that we've got in the international business across regions right now. I would note too that, of course, Russia is a bit of an impact too not significantly so. We had a small business in Russia sales through distributors. And so we've suspended operations in Russia. We took close to a $5 million write-off primarily accounts receivable for that decision.
Michael Kessler: Thanks so much.
Sam Mitchell: You're welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from Mike Harrison from Seaport Research Partners. Your line is now open. Please go ahead.
Mike Harrison: Hi. Good morning. In terms of the higher -- that higher store additions guidance, first of all that's great to see. Second, it seems like this is driven by franchisees. What is driving that additional momentum from your franchisees? Is this a handful of larger franchisees that's contributing to this growth, or is it a broader group? How might this be changing how you're thinking about company store additions as you think about the rest of this year and into fiscal 2023?
Sam Mitchell: Yeah, the franchise growth is being driven by our largest franchisees that are well-capitalized. And we've worked really closely with them over the last couple of years in putting together strong development agreements where we've done analysis with them on the store growth opportunities in their markets and put incentives in place for them to build those markets out through a combination of store build and acquisition. And so we're beginning to see the fruits of that work. And so it is really encouraging I would say the confidence that we have in that franchise growth is growing as we project out to the next number of years. So the company store growth continues to be quite strong too. And as you know we had a number of successful acquisitions a year ago, but our store build program has picked up steam. And so the combination of the two is helping us deliver another year in that 140 to 160 range. So really encouraging for us. And as far as the split between company and franchise, our focus right now is continuing to drive penetration and markets where we have presence and where there's opportunity. We have a robust real estate model. And so if we're best positioned for company growth in that market that's our focus or if we have a strong franchise operator, we'll be working with them. We are working with them to drive their store growth to better penetrate markets. As we've shared in earlier presentations, our store base we're roughly reaching 15% of households that are within a five-mile driving distance of a Valvoline location and so we see significant opportunity for store growth. And we think that both company and franchise opportunities will continue to be in front of us in the years ahead. So we've got a good aggressive program that has got good momentum. I'm especially encouraged by the performance of these new stores both acquisition and the ground ups we're seeing really good performance and just moving up that maturity curve quite quickly. And you saw that in one of the presentations where we're seeing very strong growth in the newer stores.
Mike Harrison: All right. Great. And then a question on the inflationary environment. As consumers are seeing more inflation at the gas pump have you started to see any pressure on your non-oil change revenue or delaying vehicle maintenance or trading down from premium lubricants to conventional? Just trying to understand, if there's any impact on demand from some of the inflationary pressure? Thank you.
Sam Mitchell: That's a great question. And the answer is no. We have not seen a negative pressure, downward pressure on our performance with regard to our pricing. And so again as we study the business and we look at performance in higher-priced markets like California --we're seeing outstanding volume growth and ticket performance too. So far the consumer is not resisting the cost increases and the model is performing quite well. So we'll continue to watch it closely, but I think it really supports the superior customer experience that we're able to deliver across our system and that gives us the pricing power to keep up with costs. And so again as we look at the performance of the last five weeks, six weeks since we took price increases we're really encouraged by that. 
Mike Harrison: All right. Thanks very much.
Operator: [Operator Instructions] We have no further questions so I'll hand it back to the Valvoline team for closing remarks. 
Sam Mitchell: All right. Well, thank you and I appreciate everyone listening in today. But good news is that the business is performing quite well for both Retail Services and Global Products. We're quite confident in our pricing actions and we expect that to benefit the back half of the year with steady improvements in Q3 and we'll see pretty significant increases in profitability particularly in Q4. And so again I would point everyone's attention back to just the strong demand for our products and services and the ability to continue to drive that performance in our future. Thank you very much. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect.